Operator: Welcome to the Global-E Fourth Quarter and Full Year 2024 Earnings Announcement Conference Call. This call is being simultaneously webcast on the Company's website in the Investor Relations section under News and Events. For opening remarks and introductions, I will now turn the call over to Erica Mannion at Sapphire Investor Relations. Please go ahead.
Erica Mannion: Thank you and good morning. With me today from Global-E are Amir Schlachet, Co-Founder and Chief Executive Officer; Ofer Koren, Chief Financial Officer; and Nir Debbi, Co-Founder and President. Amir will begin with a review of the business results for the fourth quarter and full year of 2024. Ofer will then review the financial results for the fourth quarter and full year of 2024, followed by the Company's outlook for the first quarter and full year of 2025. We will then open the call for questions. Certain statements we make today may constitute forward-looking statements and information within the meaning of Section 27(a) of the Securities Act of 1933, Section 21(e) of the Securities Exchange Act of 1934, and the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995 that relate to our current expectations and views of future events. These forward-looking statements are subject to risks, uncertainties and assumptions, some of which are beyond our control. In addition, these forward-looking statements reflect our current views with respect to future events and are not a guarantee of future performance. Actual outcomes may differ materially from the information contained in the forward-looking statements as a result of a number of factors, including those set forth in the section titled Risk Factors and our prospectus filed with the SEC on September 13, 2021, and other documents filed with or furnished to the SEC. These statements reflect Management's current expectations regarding future events and operating performance and speak only as of the date of this call. You should not put undue reliance on any forward-looking statements. Although we believe that the expectations reflected in the forward-looking statements are reasonable, we cannot guarantee that future results, levels of activity, performance, and events and circumstances reflected in the forward-looking statements will be achieved or will occur. Except as required by applicable law, we make no obligation to update or revise publicly any forward-looking statements whether as a result of new information, future events or otherwise after the date on which the statements are made, or to reflect the occurrence of unanticipated events. Please refer to our press release dated February 19, 2025 for additional information. In addition, certain metrics we will discuss today are non-GAAP metrics. The presentation of this financial information is not intended to be considered in isolation or as a substitute for or superior to the financial information prepared and presented in accordance with GAAP. We use these non-GAAP financial measures for financial and operating decision making and as means to evaluate period-to-period comparisons. We believe that these measures provide useful information about operating results, enhance the overall understanding of past financial performance and future prospects, and allow for greater transparency with respect to key metrics used by Management in its financial and operating decision making. For more information on the non-GAAP financial measures, please see the reconciliation tables provided in our press release dated February 19, 2025. Throughout this call, we provide a number of key performance indicators used by our Management and often used by competitors in our industry. These and other key performance indicators are discussed in more detail in our press release dated February 19, 2025. I will now turn the call over to Amir, Co-Founder and CEO.
Amir Schlachet: Thank you Erica and welcome everyone to our fourth quarter and full year 2024 earnings call. 2024 was yet another record-breaking year for us here at Global-E as we continue to diligently execute on our strategy and further solidify Global-E’s leadership position in the global ecommerce space. 2024 was brought to a great close by a fourth quarter which was our strongest quarter ever and came in well above our guidance on all metrics. We finished Q4 with a record $1.71 billion in GMV, up 44% year-on-year, and with record revenues of $263 million, up 42% year-on-year, supported by the strong performance of our merchants over the holiday sales period, including the Black Friday and Cyber Monday weekend. The adjusted gross profit margin for Q4 was nearly 46%, up almost 330 basis points from the same quarter of last year. Gross margin expansion coupled with our continued focus on operational excellence and execution enables us to reach a key milestone in our journey in Q4. For the first time ever, our quarterly Adjusted EBITDA margin crossed the 20% mark, which was the long term profitability target we set for ourselves at the IPO less than four years ago, landing at 21.7% or $57.1 million, reflecting more than 62% growth compared to the same quarter last year. Such increased profitability coupled with the usual seasonality effect yielded accelerated cash generation with the business generating nearly $130 million in operational cash flows in Q4. Not only that, but in Q4 we reached GAAP profitability for the first time since the IPO, another incredible milestone for us. We expect 2025 as a full year to exhibit for the first time in our history as a public company a strong GAAP profitability as well on top of the continuation of our multi-year strong free cash flow generation. As we report to you today the results for 2024, we are quickly approaching our fourth anniversary as a public company. As such, it is an opportunity to pause and reflect on our growth journey over the last few years, and what an incredible journey it has been. GMV for the full year of 2024 came at close to $4.86 billion and revenues for the full year came in at almost $753 million. This is more than six times the GMV and five and a half times the revenue we had in 2020, the last full year prior to our IPO just four years ago. Our annual adjusted gross profit reached nearly $350 million in 2024, more than eight times what we had in 2020 as our top line growth was coupled with robust expansion of our adjusted gross profit margin from just 32% at IPO to 46.5% in 2024, an increase of 14.5 percentage points or more than 45% during this four-year period. Moreover, Adjusted EBITDA for 2024 was roughly $141 million, growing even faster at almost 11 times compared to 2020 and representing a staggering compounded annual growth rate of over 80%, driven primarily by our operational leverage and commitment to cost control coupled with our track record of delivering fast and durable growth. Accordingly, net operating cash flows grew to nearly $170 million for the year, yielding a cash and cash equivalents balance of nearly half a billion dollars at the end of 2024. As such, we believe that our consistent growth trajectory together with our strong cash generation ability will provide the necessary fuel to support our growth plans in the future as well, both organic and inorganic. Looking back at the last four years, I feel enormous pride in what our global team of remarkably dedicated Global-E professionals, now more than 1,000 people strong around the globe, has managed to accomplish, achieving and surpassing the key financial and strategic goals we had set for ourselves. We managed to beat our start of the year annual GMV guidance in every single year since going public despite occasional intra-year macro headwinds and challenges we had to push through, also setting a new record in GMV bookings each year, with 2024 being no exception to that, but such growth did not come at the expense of profitability. As I already noted, our relentless focus on efficiencies and cost control enabled us to beat the aspirational long term profitability target we set for ourselves at the time of the IPO. We crossed the 40% adjusted gross profit mark already several quarters ago, and now we’ve crossed the 20% Adjusted EBITDA margin milestone as well. Beyond the massive growth in all our financial metrics, over the past four years we also managed to achieve the ambitious strategic goals we set out to conquer when we IPOed. On the platform side, we continued to expand the suite of capabilities and solutions we offer to our merchants, added multiple capabilities across all areas of global ecommerce, and sharpened our data capabilities and insights, all aimed at further growing our merchant business. In parallel, we significantly expanded our total addressable market, or TAM in recent years by expanding our global geographical footprint from just nine outbound markets operated in 2020 to the 39 outbound markets we currently support, as well as by broadening our platform scope to enable more multi-local offerings to serve the needs of large global merchants as well as consumer electronic brands. We also launched our SMB and demand generation offering based on the Flow and Borderfree acquisitions respectively. From a merchant perspective, post-IPO we have made strategic investments in cultivating several new verticals, including sports clubs and consumer electronics, investments which have been paying off as we continue to on-board more and more such brands. As an example, the latest consumer electronics brand that recently went live on Global-E is Logitech, one of the world’s largest and most innovative providers of computer peripherals, input devices, gaming accessories, audio and video gear, and smart home devices. We are grateful for the opportunity to support the amazing team at Logitech and their ever-growing focus on direct-to-consumer sales worldwide. More broadly as we prepare to enter our fifth year as a public company, we are in high gear with our engines firing on all cylinders as our global team pushes forth along all our strategic pillars. On the new GMV front, looking back at Q4, we saw many new brands joining the platform and going live across all geographies. In the U.S., the successful shaper brand, Spanx went live, as did Thursday Boots, the upcoming jewelry brand, Keyzar, and web store of famous luxury fashion designer, Tom Ford. Europe saw many new brands go live as well, including Spanish brand Tous, Italian fashion brand Slowear, U.K. footwear brand Phoebe Philo, German brand IvyOak, Swiss running gear brand Compressport, famous Austrian lingerie brand Triumph, French brands Zapa and Molli, and the successful Finnish pet brand, Hurtta, so now all European dogs can enjoy their unique pet gear and clothing. The APAC region saw its fair share of go-lives as well. In Japan, we went live with Komehyo, one of Japan’s largest retailers of second-hand goods; with Kyoto-based watch brand, Kuoe, with novelty brand Taito, and with the Japanese tailored shirt brand, Kamakura Shirts. We also went live with the renowned Korean cosmetics brand, Depology, and with the Australian fashion brands, Zoe Kratzmann and SECONDLEFT, to name a few. Besides adding new merchants, we also continued to expand the scope of our business with existing merchants and merchant groups. During Q4, we added Romania and Croatia to the list of markets we operate for Adidas, went live with a new outlet site for a longstanding merchant, John Smedley, and added Strellson, the third brand to go live with us out of the Swiss Holy Fashion Group. As we strive to fulfill our mission of powering better global ecommerce, we continue to invest in adding new services and new functionalities to support the diverse needs and aspirations of merchants of all sizes and across all geographies. During Q4, our product and engineering teams concentrated on deploying several key new capabilities. Those included, among other things, a new revamped returns portal and returns process improvement, including new consolidated return options in key lanes, support for B2B imports for relevant merchants, known as [indiscernible], and enhanced live view as part of our merchant portal and several enhancements to our Borderfree.com demand generation platform. As we remain the leader of global ecommerce as a service, we believe we are uniquely positioned to continue harnessing our unparalleled and fast-growing data assets, our accumulated know-how and our unique expertise, building and perfecting more and more services and capabilities for the benefit of new and existing merchants. Our robust product development pipeline as well as our continued investments in R&D are aimed at achieving just that. That is true also with regards to Shopify Managed Markets, where we continue to work hand-in-hand with our partners at Shopify and invest in adding new features and functionality to the managed markets offering, aimed at making it applicable to a wider range of merchants on the Shopify platform. Another key area we continue to invest in is technological innovation with emphasis on harnessing the power of artificial intelligence to improve both customer and merchant experience, as well as drive productivity and efficiency within our internal operations. One such innovation, which we have already discussed in the past, is our successful customer service chatbot utilizing a specially trained version of the ChatGPT large language model. The chatbot is already handling a large percentage of customer tickets, almost half of which are solved by the bot in real time to the full satisfaction of the customer, and we are constantly broadening the scope of issues the bot can handle. For example, now when customers approach customer services wanting to return a product, instead of being redirected to a returns portal, they can finish the entire process right there vis-à-vis the bot and get a return label, all the relevant communication, and clear instructions on how to proceed. Another example of a proprietary tool we are starting to experiment with is automatic AI-assisted localization of merchant-side text and visual content aimed at transforming the way merchants manage multilingual content on their site. Once operational, through this service we plan to offer merchants instant high quality translation tailored to the specific context of their brand with minimal effort while maintaining the merchant’s control over the final result through a resource management system enabling edits and updates by human translators when needed. We are also continuing to develop and deploy internal automated systems aimed at increasing operational efficiency. A recent example is an automated system developed by our innovations team designed to streamline the handling of payment disputes and potentially lower unforced charge-backs. Other examples include AI-powered tools that could enable internal users and software developers to interact more easily with our data, our knowledge bases and our code base using natural language, as well as AI-based tools like Copilot and others that are designed to accelerate coding, as well as testing and quality assurance. In summary, we are extremely pleased with our achievements and results for the past few years since the IPO, as well as with the results of 2024 in particular. We are even more excited about the many growth opportunities that lie ahead of us in 2025 and beyond across all our strategic pillars. From a financial perspective, besides the continuation of our solid growth trajectory, 2025, our fifth year as a public company, is set to bring with it two significant milestones. First, as mentioned already, 2025 is expected to be Global-E’s first GAAP profitable year as a public company. We’ve exhibited positive and improving Adjusted EBITDA and free cash flow figures every single year since we went public, but this year we also expect to be GAAP profitable for the full year and hit our 20% Adjusted EBITDA long term IPO target for the full year, which are both very significant milestones for us. The second important milestone for us is that in the back half of 2025, we are expected to cross for the first time ever an annual run rate of $1 billion in revenue and likely finish 2025 just shy of the $1 billion mark for the full year. The journey from zero to a billion dollars in revenues over the past 12 years has been an amazing one, and we’re only getting started. With that, I will hand it over to Ofer to dive deeper into our quarterly and annual financial results as well as our outlook for Q1 and for the full year 2025.
Ofer Koren: Thank you Amir, and thanks to everyone for being with us today for our earnings call. A As Amir mentioned, we are truly excited about our Q4 and full year results for 2024. I’d like to point out again that in addition to our GAAP results, I’ll also be discussing certain non-GAAP results. Our GAAP financial results along with the reconciliation between GAAP and non-GAAP results can be found in our earnings release. Looking at the full year of 2024, it was another year of strong growth for us with the business firing on all cylinders. GMV and revenue grew 37% and 32% year-on-year respectively. Adjusted gross profit grew even faster at 43%, reflecting an adjusted gross margin of 46.4% for the year, up 350 basis points from 2023. Adjusted EBITDA grew a staggering 52% to slightly more than $140 million, reaching an Adjusted EBITDA margin of 18.7% on an annual level. Furthermore, 2024 was another record year of free cash flow generation which amounted to $167 million, reflecting a free cash flow margin of 22.2%. Throughout 2024, our existing merchant base continued to stay and grow with us, as reflected in our annual NDR rate of 119% and GDR rate of 93.5%. It is important to note that GDR and NDR were negatively impacted by the ordinary bankruptcy of Ted Baker and by several Borderfree merchants that chose not to re-platform to the Global-E platform. NDR and GDR excluding the out of the ordinary churn for 2024 is at close to 123% and 97% respectively. Zooming into Q4, the quarter exhibited strong rapid growth and robust cash generation as we continued to execute and tap into the global direct-to-consumer ecommerce opportunity. We have experienced accelerated growth of GMV in Q4 as we generated $1.71 billion of GMV, an increase of 44% year-over-year. The rapid growth was driven by strong consumer demand, which remains volatile, and significant contribution from new merchants such as Harrod’s and Victoria’s Secret, that have on-boarded successfully to our platform in recent months. In Q4, we generated total revenue of $262.9 million, up 42% year-over-year. Service fee revenues were $117.3 million, up 30%, and fulfillment services revenues were up 53% to $145.6 million. The faster growth of fulfillment revenue compared to service fee revenue was mainly driven by the bankruptcy of Ted Baker, to which we provided demand generation services with a high service fee take rate. Fulfillment services revenue growth was also positively impacted by the GMV mix. Moving down the P&L, growth in non-GAAP gross profit continues to outpace revenue growth. In Q4, non-GAAP gross profit was $120.9 million, up 53% year-over-year, representing a gross margin of 46% compared to 42.7% in the same period last year. The gross margin has slightly decreased compared to Q3 mainly due to the higher share of fulfillment revenue. GAAP gross profit was $118.7 million, representing a margin of 45.1%. Moving onto operational expenses, we remain committed to investing in the growth and improvement of our platform to further enhance our offerings. R&D expense in Q4 excluding stock-based compensation was $24.1 million or 9.2% of revenue, compared to $18.2 million or 9.8% of revenue in the same period last year. Total R&D spend in Q4 was $28.3 million. We also continued to invest in sales and marketing to solidify our pipeline while maintaining efficiencies. Sales and marketing expense excluding Shopify-related amortization expenses, stock-based compensation, and acquisition-related intangible amortization was $29.8 million or 11.3% of revenue, compared to $17.8 million or 9.6% of revenue in the same period last year. Shopify warrant-related amortization expense was $37.4 million. Total sales and marketing expenses for the quarter were $70.9 million. General and administrative expenses excluding stock-based compensation and acquisition-related contingent consideration was $10.7 million or 4.1% of the revenue, compared to $8.6 million or 4.6% of revenue in the same period last year. Total G&A spend in Q4 was $14.3 million. Adjusted EBITDA for the quarter totaled $57.1 million, representing a 21.7% Adjusted EBITDA margin, increasing by 62% from $35.2 million or 19% margin in the same period last year. As Amir mentioned, this marks another key milestone in our journey as we have been able to hit our Adjusted EBITDA long term target set prior to our IPO. Despite the impact of the Shopify warrant-related amortization expense, Q4 2024 marked our first quarter of GAAP profitability as a public company, and net profit for the quarter was $1.5 million compared to a net loss of $22.1 million last year. Switching gears and turning to the balance sheet and cash flow statement, we ended 2024 with $474 million in cash and cash equivalents, including short term deposits and marketable securities. Cash generation has accelerated with operating cash flow in the quarter at $129.3 million compared to an operating cash flow of $93.5 million a year ago, driven mainly by Adjusted EBITDA growth and working capital dynamics. Moving to our financial outlook and guidance for 2025, despite the prevailing macro-related uncertainties, we expect 2025 to be another year of fast growth and improved Adjusted EBITDA for Global-E. For Q1 2025, we are expecting GMV to be in the range of $1.21 billion to $1.25 billion. At the midpoint of the range, this represents a growth rate of 32% versus Q1 of 2024. We expect Q1 revenue to be in the range of $184.5 million to $191.5 million. At the midpoint of the range, this represents a growth rate of 29% versus Q1 of 2024. For Adjusted EBITDA, we are expecting a profit in the range of $29.5 million to $33.5 million. For the full year of 2025, we anticipate GMV to be in the range of $6.19 billion to $6.49 billion, representing over 31% of annual growth at the midpoint of the range; in other words, we expect GMV growth to remain strong, although growth rates are expected to be lower compared to H2 2024, driven mainly by normalizing consumer demand, which had been on the higher side in the last few months of 2024. Revenue for the year is expected to be in the range of $917 million to $967 million, representing a growth rate of 25% at the midpoint of the range. Revenue growth is expected to be somewhat slower compared to GMV growth as we expect the overall take rate to decline during 2025. The lower take rate expected is driven mainly by our estimates that large merchants will increasingly adopt more multi-local or 3B2C strategies as a means to manage their risk of rising cross-border tariffs which are being put in place by the U.S. and some of its trading partners worldwide. Even with that, as Amir mentioned earlier, we believe we can potentially reach another significant milestone in 2025 as in the second half of the year, our revenue annual run rate is expected to cross the $1 billion mark for the first time. We expect Adjusted EBITDA to continue to perform well and Adjusted EBITDA margin to expand, thanks to our increasing efficiencies and economies of scale. For Adjusted EBITDA, we are expecting a profit of $179 million to $199 million, representing over 34% growth at the midpoint of the range, allowing us to reach our long term goal of 20% Adjusted EBITDA margin in 2025. Moreover, 2025 is expected to be our first full year of GAAP profitability as a public company as the Shopify warrants-related amortization is expected to decrease significantly in Q2 of 2025 and to be gone in the beginning of 2026. In conclusion, we have reached and surpassed the long term targets that we had set prior to our IPO in 2021, and we believe there is still a long runway in front of us. We believe now is the right time to share our thoughts about the next phases of growth for Global-E, and we will share our strategy, business initiatives and financial targets for the future during our upcoming inaugural investor day on March 11 in New York City. Hope to see you there. With that, Amir, Nir and I are happy to take any of your questions. Operator?
Operator: Thank you. Ladies and gentlemen, we will now begin the question and answer session. [Operator instructions] Your first question is from Andrew Bauch from Wells Fargo. Your line is now open.
Andrew Bauch : Hey guys, thanks for taking the question, and congratulations on a fantastic year. I’ll ask both of my questions upfront. The first quarter guide, just unpacking that, it implies a pretty meaningful deceleration from the momentum that you showed in the fourth quarter and despite the easier comp from first quarter ’24, so maybe if you could just kind of help us understand the conservatism that’s baked in there. Then my follow-up would be on the managed market solution, by our estimates you delivered north of 250 of GMV in 2024, basically off of essentially zero in 2023, so is it fair to assume that you can add a similar amount of GMV dollars in 2025 as you did in 2024? Thanks again.
Amir Schlachet: Hey Andrew, thanks. I’ll start just in terms of the growth rates for the first quarter. In general for the first quarter and for 2025 in general, we are happy with what we are looking at, and we believe the GMV is going to continue to grow fast, over 30% as is reflected in our guidance. There is, I would say, somewhat slower growth expected in revenues, and the main reason for that is what we expect would be the effect of the tariffs that are being imposed by the U.S. and by some of its trading partners, as we believe it will drive more merchants to adopt either 3B2C or even multi-local strategies as a means to manage the risks of these growing tariffs, and that will inherently lower the take rate on that, and that’s what we’ve baked into our guidance going forward.
Nir Debbi: Hi. As for your second question, Andrew - it’s Nir, we do expect managed markets to remain around the 5% of our overall GMV as we and Shopify are currently focused on enhancing the merchant experience and simplicity in order to support reaching in the longer term a larger addressable market. We do expect that to grow this year at a pace which is--which would keep it as it was last year a share of our activity, but going forward I think in future years, with the builds we are doing now, we do have high hopes for the significant contribution.
Ofer Koren: And just to add that in terms of the deceleration from Q4 to Q1, in the second half of ’23, as you know, we’ve on-boarded many merchants, including some large ones, and those large ones have performed very well in Q4 and they are actually skewed more than others towards Q4, so that will have an impact on our following quarters. In addition to that, we saw very strong consumer demand in the last few months of ’24, and we assume a certain normalization going into 2025.
Operator: Thank you. Your next question is from Samad Samana from Jefferies. Your line is now open.
Samad Samana: Hi, good morning, and congrats on the strong close to 2024. Maybe just a follow-up on the take rate and the impact of tariffs. I guess, are you already seeing merchants come into you and say that they’re re-thinking either the fulfillment strategy, which impacts--which moves out to more multi-local, or that they’re going to start making operational changes in advance of tariffs being applied, or is this just you anticipating that? Maybe give us a little bit more clarity on the feedback that merchants have given you, and then I have a follow-up.
Nir Debbi: Hi Samad. Yes, we do see already from existing merchants a growing interest in the changes that are upcoming, trading into the U.S. and the fear of, I would say, an ongoing tariff war. As part of it, we did see merchants reaching to us to ask our advice and guidance as to what would be a good solution for them, that will not implicate them in higher operational and CapEx, and actually most of them are looking at either using our 3B2C option or actually going multi-local completely. This by nature will have effect on the year on the take rate, as reflected in the guidance. On the other hand, we do see greater interest from prospects that are not currently with Global-E, that are looking for solutions as well and understand that with a partner like Global-E, they can expedite and make much more efficient their set-up towards the new changes and the ever-changing environment. It’s not only the changes themselves, it’s the ability to adapt for frequent changes that [indiscernible] brands are facing hard time to do within their internal tech stack. Overall, I believe that into the long term, it might yield the complexity, might yield a positive effect for Global-E, as we’ve seen in the past when Brexit occurred, so it had a short term, I would say impact on take rate, on consumption, but over time it created a lot of push to additional merchants to join the Global-E platform.
Samad Samana: Great, that’s helpful. Then maybe just as I think about the progression of 2025, obviously you gave the 1Q guidance; but Ofer, can you help us understand what you’re assuming from an NRR perspective and maybe just any anticipated large merchant go-lives like you’ve experienced in the last couple of years that we should be aware of as we’re setting our models for the year.
Ofer Koren: Sure Samad. Regarding--I’ll start from the end, the new merchants, we came in today--we had a very strong year in terms of sales in 2024, and we started the year with a very nice backlog of merchants that are expected to go live within 2025. None of them, no single merchant that is as large as we saw in the last few months of ’24, but the aggregated number is very solid, so we expect those merchants to contribute gradually into the numbers of 2025. Remind me, what was the first part of the question?
Samad Samana: Can you guys hear me? What are you assuming for net revenue retention in 2025?
Ofer Koren: Oh, yes. Thank you for that. Sorry for not remembering that. For net revenue retention, we expect a similar number to what we have seen in ’24, maybe slightly lower as the larger scale that we are adding, it is becoming gradually more challenging to maintain the same numbers, but we expect it to come close to what we have seen in 2024.
Operator: Thank you. Your next question is from James Faucette from Morgan Stanley. Your line is now open.
James Faucette: Great, thanks very much. Wanted to just quickly touch on another element of the NRR, etc. that you mentioned as it related to Borderfree merchants who chose not to re-platform with Global-E. Can you just give us a little insight as to what those discussions were like or why those decisions were made, and how do you feel about at least some of those customers becoming Global-E customers in the future?
Nir Debbi: Hi James, it’s Nir. Basically just to start with overall, most of the GMV out of the Borderfree platform either already migrated or churned, so we see less impact going forward than what we’ve seen on 2024 numbers. But those merchants that were merchants--that were mentioned that did not migrate to Global-E, actually the vast majority had other priorities than to invest in an integration with Global-E. The typical merchant is a much more traditional merchant from department stores and traditional retailers in the U.S. They have their own priorities due to their current situation, and many of them decided not to--unfortunately of those that did not move, decided not to invest in integration currently. With some of them however, we are still in discussions, so I do assume that there is an opportunity that over time, once their urgent priorities are done, we will see some of it actually coming back as a new merchant into the Global-E platform. However, on those that actually migrated to Global-E, we are very happy with the results. We have seen great traction, we’ve seen their sales going up, we see much better conversion out of their current traffic, so all in all what we wanted to achieve with them, we did see it becoming a reality, so we’re quite optimistic on the growth trajectory with them, and as I said, going forward the effect of it on our NDR and NRR is going to be much lower.
Operator: Thank you. Your next question is from Chris Zhang from UBS. Your line is now open.
Chris Zhang: Hey, thanks for taking our questions. Our first question is about your revamped Borderfree [indiscernible] service. Can you maybe talk about your progress on that in terms of the merchants on-boarded, the progress towards monetization, and how much did they impact as being baked into your take rate for 2025? Then my second question is about the free cash conversion in 2025, and especially the taxes or the tax rate you’re going to pay in 2025. Thank you.
Nir Debbi: Hi Chris, thank you for your question. It’s Nir. Yes, we have launched Borderfree.com, which is our demand generation initiative in, I would say sometime in Q4, it wasn’t early October, it was late October that we launched it, and we are very happy with the initial traction we’ve seen so far, both with current merchant adoption out of the Global-E platform as well as the shopper usage. We do believe that it will be a strategic pillar in the coming years to drive more traffic to our merchants, growing their business with significant and growing share of their demand coming from Global-E, as well as setting us another competitive edge to the market in order to bring in additional GMV to Global-E, so all in all we’re very happy with the initial traction. I will pass to Ofer for the second half.
Ofer Koren: Hi Chris, thank you for the question. Regarding free cash flow, as in previous years, we expect it to be slightly above our Adjusted EBITDA, so that’s the short answer.
Operator: Thank you. Your next question is from Brian Peterson from Raymond James. Your line is now open.
Brian Peterson: Thanks gentlemen, and congrats on the strong close to 2024. I’d love to hear what you guys have seen so far starting 2025 - I know you mentioned the very strong demand through the holiday season, but anything you’d call out in terms of GMV trends as we start 2025, and any color by region?
Nir Debbi: Yes Brian, it’s Nir. We have seen--we have seen after a very strong peak period and also before the--slightly before that in the second part of Q3, where we’d seen a strong consumer demand, we did see some normalization coming into ’25 and we expect it to go into something that is much more closer to our normal trend of--multi-year trends that we’ve seen in consumer demand driving same store sales. Most countries behave the same. I think that we have seen some slight weakening in the U.K., in the consumer demand into the U.K., but outside of that, we are currently seeing back to normalization slightly lower than what we’ve seen, but it’s already embedded in our guidance.
Brian Peterson: Got it, and maybe just a follow-up as we’re thinking about take rates, I’m just curious what are newer merchants to the platform thinking about multi-local? I know there’s some mix dynamics with enterprise, but I’d love to understand as we think about the expectations for the 2025 guidance, what should we be assuming about take rates longer term as we think about the mix of multi-local versus non multi-local? Thanks guys.
Nir Debbi: I will start, then I’ll pass it to Ofer. In terms of the new merchants, I think that the multi-local enabled Global-E to address new TAM. It opened an addressable market that Global-E could not reach before. If you look just in January, and Amir mentioned it, late January, early February we launched Logitech. Logitech is our strongest consumer electronics brand to date. This was not in our TAM if you just take it back two to three years ago, where we didn’t have the capability to do multi-local, so yes, by nature it’s in a lower take rate because in multi-local, either you don’t have fulfillment take rate at all or you have at a very low take rate versus cross-border, however it does open a new addressable market for us. In terms of how we see it playing over time, I will let Ofer give more clarity.
Ofer Koren: I think that over time, we should see multi-local, you know, beyond what Amir has just mentioned regarding 2025, growing gradually in share, and this is, one, because as Nir just mentioned, there is an opportunity there and we are pursuing that opportunity for consumer electronics and other merchants that have local inventories as well, and on top of that, we see over time a gradual shift with very large merchants and it makes sense for them to open another inventory center, let’s say with a U.S. merchant in Europe or the other way around, if it’s European merchants in the U.S., so we see that also over time, so we do expect a gradual increase in multi-local over time.
Operator: Thank you. In the interests of time, we ask that you please only ask one question. Thank you. Your next question is from Brent Bracelin from Piper Sandler. Your line is now open.
Brent Bracelin: Thank you, good afternoon. Amir, Nir, appreciate the early feedback on tariffs - a lot of questions that we have there. It sounds like that’s adding a new layer of complexity, and while it might impact volumes, it could also drive more merchants your way. My question is related - it’s on the potential suspension of the de minimis exemption rule here in the U.S. for duty-free goods under $800. How would the suspension of that rule impact the business? Would that another layer of complexity and potentially impact volumes but drive more merchants to the platform? Walk through specifically what you’re seeing merchants discuss with you around the de minimis expense rule.
Nir Debbi: Hi Brent, it’s Nir. Indeed, we do expect the suspension of de minimis to have an effect both on the consumer demand with affected [indiscernible] that would see an increase that can be north of 10% that were actually levied on the product, but can be anything between 25% to 35% because there are ongoing duties that today don’t kick in because they order is below the de minimis of the $800, so this change would have an effect that not only the 10% would kick in but the entire 30% on average might kick in, making the order from foreign [indiscernible] into the U.S. for those specific agents more expensive. This is what the merchants are facing. That’s why a 3B2C model, where the merchant would actually import it on a wholesale basis to avoid paying high tariffs or duties on the retail value, but do it on the wholesale and then sell it domestically, we will see it coming more, as well as an increasing demand for solutions to duty reclaim, because if duties are kicking in now in the U.S. and 15% on average of goods are actually going back into the origin country, then duty reclaim will become much more critical because it can save 2% or 3% on the trading cost, so we do see a lot of interest coming around it for merchants in order to give themselves--to have an optimized, I would say cost structure and profitability while not bumping up prices to the U.S. consumer, at least not at tens of percent. We do believe this will create a lot of interest in our services as Global-E is geared to give a comprehensive suite of services, from duty reclaim for the returns into supporting 3B2C, that for a merchant to do by itself is super complex to do, if at all, so we do believe that there will be uncertainty, it might affect short term consumption, but overall in the longer term, we do expect it will behave the same as we’ve seen in Brexit, where overall it created much more demand to our services.
Amir Schlachet: I would just add to that, Brent, as Nir alluded to earlier, it’s not just the magnitude, the impact of either the tariffs or the change in de minimis, it’s also the velocity at which these changes are coming, and we’ve seen that over the last few weeks. It’s probably not going to end there - there are going to be retaliatory actions back and forth, so it’s not just the tariffs themselves, it’s the ability to handle and keep on training in a streamlined way in the face of all these rapid changes in the market, and as we said, that’s part of the value that Global-E brings to the merchants.
Operator: Thank you. Your next question is from Koji Ikeda from Bank of America. Your line is now open.
Koji Ikeda: Yes, hey everybody. Thanks for taking the question. I wanted to ask another question on take rates. When I look at the original 2024 guide right at the midpoint, I think the take rate assumption there was for 16% for 2024, but the year ended up a little bit below that at 15.5%. When I look at the 2025 guide, right smack in the midpoint that’s 14.9%, and I do appreciate the multi-local and the tariff dynamic there; but I wanted to really understand how conservative the take rate assumptions are this year versus last year, and what are some of the factors, maybe outside of multi-local and tariffs, that could drive a higher or lower overall take rate versus the guide. Thank you.
Ofer Koren: Sure Koji, it’s Ofer. I think that looking at--you know, as we always do, when we got into this year, we learned from past experience, we obviously looked at last year’s guidance versus the actual execution, and then input for the 2025 budget and guidance. I would say that the 2025 guidance is thoughtful and it’s based on our best estimation at this point in time. As we mentioned, we expect take rates to decrease mainly on the back of higher multi-local share that is pushed by the tariffs and considerations of merchants, and you know, we hope that we will hit the number. In order to--what can drive this upwards is a faster penetration of value-added services - this could definitely support take rates, and what would impact it negatively is if we see a higher share of multi-local compared to what we expect to see.
Operator: Thank you. Your next question is from Patrick Walravens from JMP. Your line is now open.
Patrick Walravens: Oh, great. Thank you. I wanted to go back to Ted Baker. After--I guess it was in August of last year, you guys guided down, I think it was by about $10 million because of the bankruptcy at Ted Baker, and at the time here in the U.S., when you went to the website, it was offline, but now it’s back, I guess under ULAC. Do you get that business back?
Amir Schlachet: The business that actually went bankrupt was actually resold, so there’s a new partner managing it. We are, as we do with other prospects now, work in order to be connected, but it’s a completely different tech stack, it’s a completely different owner. It’s like selling to a new client. Again, it’s part of our pipeline, and hopefully we will be able to have--to be able to work with them.
Operator: Thank you. Your next question is from Mark Zgutowicz from The Benchmark Company. Your line is now open.
Mark Zgutowicz: Thank you, and congrats on the GAAP profitability milestone. Just two quick ones for me, Ofer, on the ’25 guidance. I’m just curious what the services take rate assumption is, and then as it relates to Shopify managed markets, I was hoping you could confirm the mix there in your ’24 GMV. Thanks.
Ofer Koren: Sure, so regarding the take rate, we expect service fee take rate to be slightly lower compared to ’24. As we mentioned, there is the Ted Baker impact, and we did serve Ted Baker for, I think almost eight months in ’24. Regarding fulfillment, as we already discussed more than once on this call, we expect it to be lower due to higher multi-local share, so that’s in terms of the take rate. In terms of Shopify managed markets, as we called out during the year, the actual result is budgeted by us, so we hit the budget and as we mentioned a few times, it was around 5% of our volume.
Operator: Thank you. Your next question is from Rob Wildhack of Autonomous Research. Your line is now open.
Rob Wildhack: Hey guys, one more on managed markets, and appreciate all the color there. I think in the past, you’ve hinted that volume’s been in line with expectations but you’ve added more merchants than expected, so that kind of points to fewer large merchants on-boarding there. I’m curious why you think that is, and then what specifically features or functionality do you think you need to add to make the product more applicable to those large merchants? Thanks.
Nir Debbi: Hi, it’s Nir. I think you’re correct on your assumption - yes, we did hit our budget. It is skewed towards slightly lower size of merchants versus what we budgeted for; however, it did give so far a solution for thousands of merchants that adopted it and are trading and happy on the platform. We do believe--and we work with Shopify in order to build, I would say, additional tools, as I mentioned earlier, and capabilities to make it more simple and streamlined with other Shopify processes and activities, and we believe it will also give a greater set of capabilities that will allow to go further upstream in terms of also the size of clients. It will mature over time in the coming quarters, but we have high expectations over the coming years for managed markets.
Operator: Thank you. Your next question is from Matt O’Neill from FT Partners. Your line is open.
Matt O’Neill: Yes, hi. Thank you guys so much. I thought maybe I could ask a little bit about the Logitech win - that seems to be a nice diversification and indicative of the electronics channel taking off. Am I reading into that correctly, and how do you guys think about that? I know there’s maybe a little bit more scrutiny on electronics going cross-border than typical apparel and luxury items, and so has that type of product movement improved? Thanks.
Nir Debbi: Yes, so you’re spot on that consumer electronics is indeed more complex than apparel and cosmetics to move cross-border. That is almost by nature why consumer electronics brands that we bring on are multi-local. The latest addition we spoke about, Logitech, is a good example - it’s completely multi-local; however, it’s a new total addressable market for Global-E. We do believe that we can win ground within the consumer electronics segment, and we think that Logitech was our first real size case study. However, we had those before with Jabra, with Suunto and many others that joined Global-E already and are now enjoying our multi-local offering for the last few quarters, and we see the acceleration now and hopefully we can keep them coming.
Operator: Thank you. That concludes our question and answer session. I will now hand the call back to Amir for closing remarks.
Amir Schlachet: Thank you for that, and as we conclude another very strong year at Global-E, I would just like to thank you all for joining us today and for your ongoing support as we continue on our journey to fulfill our mission to enable great better global direct-to-consumer ecommerce for brands worldwide. We are incredibly eager and excited as we continue to take advantage of the countless opportunities that lie ahead of us, and we would be honored to have you join us. As such, we very much look forward to seeing you in New York next month for our investor day, as well as on our future earnings calls. Until then, goodbye and take care.
Operator: Thank you. Ladies and gentlemen, the conference has now ended. Thank you all for joining. You may all disconnect your lines.